Operator: Good day, and thank you for standing by. Welcome to the Q4 2025 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. You will then hear an automated message advising that your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would now like to hand the call over to Nu Skin Enterprises, Inc.'s President, Treasurer, and Investor Relations. B.G. Hunt, please go ahead. 
B.G. Hunt: Thanks, Tanya. Good afternoon, everyone. I am joined by Ryan S. Napierski, President and CEO, and James D. Thomas, CFO. We are excited to share Nu Skin Enterprises, Inc.'s 2025 results and provide guidance for 2026. Before I turn the time over to Ryan, let me point out that on today's call, comments will be made that include forward-looking statements. These statements involve important risks and uncertainties, and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release and our SEC filings for a complete discussion of these risks. Also during the call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our investor website, ir.nuskin.com, for any required reconciliation of these non-GAAP numbers. I will now turn the call over to Ryan S. Napierski. Thanks, B.G. Good afternoon, everyone. Thanks for joining the call. I am pleased to report that we delivered fourth quarter and 2025 results within our guidance range with a strong improvement in earnings, which resulted in a 40% increase in stock price for the year as we continue to focus on improving shareholder value amidst our strategic transformation. This past year was very important for the company as we worked to realign the business following the successful transaction of Mabile, which further strengthened our balance sheet and has enabled us to more assertively pursue our vision of becoming the world's leading intelligent beauty, wellness, and lifestyle leadership opportunity platform. We have worked hard towards this by investing in the build-out of our intelligent wellness in preparation for the introduction of Prism IO to the world, which is now underway. We also initiated premarket operations in India this past November in preparation for a formal market opening anticipated in late 2026 as we work towards expanding our footprint into this and other future growth opportunities in emerging markets. While transitioning our business to enable these strategic priorities has come with some inherent switching costs in 2025 and into early 2026 as our company and channel realign business practices, we believe these shifts are critical to our mid- to long-term success to enable our return to growth by 2026. 2026 represents a pivotal year for Nu Skin Enterprises, Inc. as we accelerate our transformation towards our vision. We are entering this new chapter with three strategic priorities. One, to focus our business on the burgeoning $6,800,000,000,000 wellness revolution currently underway with the launch of our Prism IO intelligent wellness platform. Two, expanding our global reach into India and other critically emerging markets in years to come. And three, improving our operational performance and efficiencies. We are clearly defining the future growth trajectory of the company, which we believe will lead to a stronger core business and a return to meaningful long-term growth. First, let me dive into Prism IO, our truly intelligent wellness platform. Building on our Euromonitor-acclaimed position as the world's leading beauty and wellness device systems brand, we have developed a revolutionary technology which we believe will play a vital role in the rapidly expanding intelligent wellness market, empowering people around the world to more accurately measure, track, and improve their nutritional health. Prism IO represents the culmination of decades of nutraceutical-grade science and research and development across the integrated beauty and wellness industries. We have been working towards establishing ourselves as the intelligent beauty leader for the past several years with the introduction of ageLOC LumiSpa iO, WellSpa iO, and RenewSpa iO. We are now taking these IoT-derived learnings and combining them with proprietary science and technology behind our Biophotonic Scanner. This enables a much greater scale and depth of intelligent wellness in the introduction of Prism IO, a noninvasive carotenoid measurement device that provides intelligent insights into nutritional health across four critical domains of diet, fitness, lifestyle, and nutritional supplementation. We have now amassed a nutritional health database already containing nearly 400,000,000 intelligent wellness data points from 21,000,000 scans of more than 10,000,000 people in 50 countries around the globe. These data points are repeatable signals tied to real consumer behaviors that indicate profile and context, behavior and habits, and repeatable engagements and activations over time. All of this data compiled into a single source represents what we believe to be the world's largest database on carotenoid health. In combination with our other beauty and wellness IoT-connected devices, where we have gathered more than 1,000,000,000 data points and insights, this trove of data will better inform consumer decisions and purchasing habits. It also provides us with far deeper aggregated insights into the needs of our customers in order to empower personalized wellness journeys, improve customer engagement, and lead to greater customer lifetime value. Our next chapter is now underway as we power these data insights with AI in our proprietary new intelligence database to inform three distinct applications. First, intelligent scoring, which will leverage AI to compare personal results against our database of 21,000,000 scans. Second, intelligent insights, which will provide customers with personalized recommendations for their diet, fitness, lifestyle, and nutritional supplementation. And third, intelligent product recommendations, which will be based upon a customer's intelligent insights through which we provide nutritional supplementation options to help them in their wellness journey. All of these insights culminate in Nu Skin Enterprises, Inc. developing a proprietary wellness biomarker based on skin carotenoid levels that we are calling the Nutritional Health Score, a universal score that gives customers insights into their nutritional health. We have long understood the importance of eating a healthy balanced diet, including fruits and vegetables, avoiding harmful pollution, and making critical lifestyle choices. But until now, consumers have been unable to noninvasively measure at scale the impact of these choices. This revolutionary biomarker offered through Prism IO provides critical nutritional health insights to consumers, something that has been missing in the wellness space until now. You deserve to know with Prism IO. From a business perspective, the unit economics are compelling. Prism IO serves as a powerful customer acquisition tool for our sales force, combined with subscription-based revenue that provides more than six times greater customer lifetime value. For 2026, we are aiming to place more than 100,000 Prism IO devices by the end of this year since the introduction in late 2025. Looking further into the future, we envision Prism IO becoming the leading platform for consumers to gather deeper, more intelligent insights into their personal and family's health. We have set an internal aspiration with our global sales force of bringing this cutting-edge wellness platform to 10,000,000 healthy households by 2030 as we partner with our dedicated sales force in nearly 50 markets around the world to accomplish this goal. Our go-to-market rollout strategy is deliberately designed to maximize long-term success. We are currently engaging, aligning, and activating our sales force in 2026 as they acquire and place Prism IO devices, followed by consumer launches around the world beginning in the second half. This approach prepares and aligns our dedicated channel as we scale the full consumer availability throughout the year. This is only the beginning for Prism IO as we delve deeper into the vast dimensions of intelligent wellness, including its impact on beauty, which we all understand begins from the inside out. Our second strategic priority focuses on broadening our emerging market footprint with our formal opening of India anticipated in late 2026. With more than 1,400,000,000 people and a rapidly growing middle class, India represents one of our most significant long-term geographic growth opportunities. Our ongoing growth in Latin America, where we have built our emerging market model, is providing greater insights into how we will expand our global footprint into new emerging markets. This refined operating model for India includes a localized product portfolio priced for India's growing middle class, a modified compensation plan, and a digital-first infrastructure through our partnership with Infosys. We began premarket entry operations in mid-November and are currently focused on three key areas. First, establishing operational infrastructure, including high-quality local manufacturing and effective market-wide logistics partnerships. Second, building robust digital-first infrastructure across the market to enable fast, simple, and scalable business processes. And third, acquiring customers and brand affiliates to begin building brand awareness and demand generation ahead of the formal market opening. Early learnings to date indicate that the market is advancing quickly towards a more developing status with strong digital-first aspirations, though local infrastructure still has room to improve. Also, India consumers and micro-entrepreneurs are highly aspirational but financially conservative, with beauty and wellness being more aspirational categories for the broader market, leading to typically longer sales and activation cycles. Nevertheless, we see great mid- to long-term potential as we scale investment and operations along the way to our formal market opening later this year. So in summary, in 2026, it is all about accelerating our evolution towards our intelligent beauty and wellness platform vision as we launch Prism IO around the globe and expand our emerging market footprint by continuing growth in Latin America and expanding into India in late 2026. As we pursue these strategic growth priorities, we will continue to drive our third critical priority of improving operational performance and efficiency to return value to shareholders, which James will discuss in just a moment. Together, these initiatives advance our vision of becoming the world's leading intelligent beauty, wellness, and lifestyle leadership opportunity platform and create a powerful foundation for sustainable growth. Our dedicated global sales force plays a crucial role in our strategic transformation as awareness generators, intelligent wellness consultants, and community and network builders. We are empowering them with greater intelligence consisting of data and insights into their business as we transform into a technology-enabled intelligent beauty and wellness platform. Our near-term focus remains on engaging, aligning, and activating our sales force around these transformational opportunities, while maintaining disciplined execution and financial performance as we seek to return to growth by year's end. I will now turn the call over to James D. Thomas to discuss our 2025 financial performance and outlook for 2026 in greater detail. James?
James D. Thomas: Thank you, Ryan, and thanks to everyone for joining us today. Before I walk through the quarter, I want to begin with the full-year story because it best reflects our execution in 2025. On an adjusted basis, we delivered $1.27 in earnings per share, up from $0.84 last year, representing about 51% growth. That improvement was driven by gross margin expansion throughout the year, ongoing selling expense optimization, and disciplined G&A management. Importantly, we achieved this while also strengthening our balance sheet and generating free cash flows to provide meaningful returns to our shareholders. I will now cover fourth quarter results, then come back to a few full-year highlights, and conclude with our outlook for the first quarter and full-year 2026. I will be speaking to adjusted non-GAAP financial measures. Reconciliations to the most directly comparable GAAP measures can be found on our Investor Relations website. For the fourth quarter, we delivered revenue inside our guidance range at $370,000,000, with approximately a $1,000,000 headwind from foreign currency. Earnings per share was $0.29, in line with expectations, which closed out our annual performance near the high end of our original guidance range. Our gross margin for the quarter was 70.7%, compared to 71.4% in the prior year. The decrease was primarily due to revenue mix of RISE entities and Nu Skin segments. Within our core Nu Skin business, gross margin was 77.6%, up 100 basis points from the prior year. Selling expense was 35.5% for the quarter, down from 37.1% in the prior year, primarily reflecting mix between our core business and RISE, as well as the prior-year period including Mabry. Within the core Nu Skin business, selling expense was 40.8%, consistent with our compensation plan alignment and continued progress in leader engagement. General and administrative expenses remain well managed and aligned with our efficiency initiatives, and operating margin for the quarter was 6.3%. With that view on Q4, let me step back to the full-year results. For the full year, we generated $1,490,000,000 in revenue, landing within our original guidance, with a foreign currency headwind of approximately $13,400,000. Within our core Nu Skin business, gross margin finished at 77.4%, an 80 basis point improvement over the prior year. We delivered sequential improvement through the first three quarters and, as expected, gross margin was modestly lower by 10 basis points in the fourth quarter due to a higher promotional period, overall seeing the benefits of portfolio optimization and product mix improvements, and we believe with our current inventory levels there remains opportunity to expand gross margin further in 2026. Core Nu Skin selling expense for the year was 40.3%. Looking ahead, we expect selling expense in the core business to remain around 40% as we continue to drive adoption of our enhanced compensation plan and focus investments on initiatives with the greatest impact on supporting top-line growth. On G&A, we remain committed to managing overhead in line with revenue while maintaining an appropriately scaled cost structure. These actions drove 26% growth in operating margin compared to the prior year. Adjusted operating margin was 6.7%, up 140 basis points from 5.3% in the prior year. Below the line, we benefited from an R&D tax credit, which reduced tax expense by approximately $8,100,000, resulting in a reported effective tax rate of 18.8%. Finally, adjusted earnings per share was $1.27, excluding the Mabli gain and other items, compared to $0.84 last year, excluding restructuring and other charges. Stepping back, the actions we have taken have strengthened our foundation and improved the flexibility of our cost structure. We are better aligned to our revenue base, and we will continue to right-size expenses and prioritize investments as trends evolve. With that foundation in place, we are focused on execution and building long-term value. Now turning to the balance sheet and cash flow. We continue to strengthen liquidity and improve flexibility through disciplined capital management. We ended the quarter with approximately $240,000,000 in cash and reduced outstanding debt to $224,000,000, resulting in an expanded net cash position. For the full year, cash flow from operations was $80,300,000, reflecting disciplined working capital management and improved profitability. We also returned capital to shareholders, including approximately $11,000,000 in dividends and $20,000,000 of share repurchases during the year. We have $142,300,000 remaining under our current share repurchase authorization. Our capital allocation priorities remain consistent: investing in innovation and growth, maintaining a strong balance sheet while continuing to delever, and returning capital to shareholders where appropriate. Looking ahead, we remain focused on executing on our strategic priorities to drive growth by 2026. The launch of our Prism IO intelligent wellness device remains on track for full consumer launch in the back half of the year, representing a major milestone in our transformation towards personalized AI-powered wellness. We are also encouraged by continued momentum in developing markets, particularly Latin America, which remains a strong performer, and by our upcoming full market opening in India, where we are laying the groundwork for an expansive opportunity for our brand affiliates. For our RISE segments, we are projecting year-over-year growth supported by expanding capabilities and capacity for manufacturing. We are also evaluating opportunities with LifeDNA to maximize our return on investment. With those priorities in mind, let me share our expectations for the full year 2026. For 2026, we project revenue in the range of $1,350,000,000 to $1,500,000,000, including an estimated foreign exchange headwind of $13,000,000 to $15,000,000, or approximately 1%. We anticipate earnings per share between $0.80 and $1.20, reflecting an expected tax rate of 35%. We project first quarter revenue between $320,000,000 and $340,000,000, factoring in an expected foreign currency headwind of approximately 1%. Reported earnings per share is anticipated to be in the range of $0.10 to $0.20. As a reminder, Q1 is historically our lowest quarter due to the seasonality of our business. So to wrap up, 2025 demonstrated the strength of our execution. We delivered meaningful earnings and operating margin improvement, generated solid cash flow, strengthened the balance sheet, and returned capital to shareholders, all while continuing to invest in the initiatives that position Nu Skin Enterprises, Inc. for the future. As we look to 2026, we are focused on advancing our strategic priorities, driving continued profitability, scaling our momentum in developing markets, and progressing our innovation pipeline, including the Prism IO launch, which we believe will meaningfully strengthen our affiliate value proposition and enhance their ability to attract and retain customers. While we remain mindful of ongoing top-line pressures in certain markets, we believe the operating foundation we have built gives us the flexibility to invest where we see the best returns and deliver long-term value. And with that, Operator, we will now open the call for questions.
Operator: Certainly. As a reminder, to ask a question, please press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. And our first question will be coming from David Joseph Storms of Stonegate. Your line is open.
Ryan S. Napierski: Hi, David. I wanted to start with diving into Prism a little bit more. We are very excited for that to come online at the end of the year, but would love to get a little more color around maybe a revenue guide or any of your thoughts on what Prism can really contribute to the top line. It sounds like there could be a lot of recurrent revenue there. I would love to hear more thoughts around that. The way I was discussing it, we are looking at the key to Prism, as we envision it, as the placement of these devices that will lead to subscriptions from customers over time, and so that really is the unit economic model that we are driving here. As I mentioned, we have the 100,000 estimate that we anticipate placing through year's end, and of that, subscription uptake—which we are still really learning, David, as it is so early; we are only a month into this—what that will actually be. So we are not really yet at the point of saying exactly what the revenue conversion will be. I think one way to look at this over time is that we have historically, on a revenue split basis, had roughly half of our business in beauty and half in wellness, with wellness leading much more towards subscription revenue, and so we see Prism really leading us more and more into the subscription realm for the wellness side. Then, of course, as we apply it into beauty later on, we see it playing there. So we are not giving direct revenue guidance on it yet for Prism, although I think the math for just the device is pretty simple. I think the market value right now per device is around $300, and we have the 100,000 units, so that would be like $30,000,000 in devices, but how we then monetize that through subscriptions, we will be learning that. James, anything you would add to that?
James D. Thomas: David, I appreciate the question. I think as you are thinking about it from a modeling perspective going forward, it is going to be centered around the timing of the full consumer launch where we would start to begin to see scale, with the placement of units through our leaders in the first half and then full consumer launch towards the back half of 2026 is how we see that coming in. We are looking at a stronger back half forecast in Q3 and Q4 2026.
Ryan S. Napierski: That is great. I really appreciate that. I have a second question here in a similar vein around India. Maybe just a little more around your thoughts of what a bull case or a bear case could be there. It sounds like if you get the infrastructure set up, there could be a lot of room to run early there. Maybe just how quickly you could get that set up, what key hurdles could be. Anything like that would be very helpful. India for us, we do see very good long-term potential or mid- to long-term. As we mentioned, we are really focused on getting all of the local infrastructure set up properly. Local manufacturing is one of our top priorities there because import duties are so high, and we want to ensure high-quality, great products at the right price there, and so that is our big focus now. Logistics throughout a pretty diverse market are critical, and then, of course, the digital infrastructure. 2026 is very much about that. We do not anticipate the formal launch being until late in 2026, so we are being very conservative from a revenue input perspective on the actual impact for the year. James, any more detail?
James D. Thomas: No. India for us is exciting for our sales leaders. It is an opportunity to go in and expand in a region that we have not been a part of. For the year, we are being a little bit cautious in how much we are actually forecasting in India, so we have tailored that back, but we believe in the high long-term potential of that market and our ability to go in with the developing market strategy to penetrate into India and look forward to that even beyond 2026 into 2027 to see how far we can go.
Ryan S. Napierski: Understood. I appreciate that commentary. James, I did have another question here for you. I would love to get your thoughts on some of the puts and takes in the guidance and where you see key spots of leverage, whether that is the G&A or just your thoughts around guidance.
James D. Thomas: I appreciate that, David. Looking forward to 2026, we are modeling, as per our guide in the release, about 1% growth on the high end of our guidance and down 9% on the low end of guidance as we look to the timing of the launch of the new product introductions towards the back half of the year, looking to exit 2026 with growth towards the Q3 to Q4 time frame against our compares in 2025. Starting at the top line of revenue, when we come down, we look at gross margin, and this last year, even starting in 2024, we started to see expansion in our gross margin. We had five consecutive quarters of gross margin expansion and growth until this last quarter in Q4, which is a higher promotional period. We believe with the way we are stacked in inventory and some of the moves that we can make around the globe around our distribution and supply chain, we can continue to expand that. From a modeling perspective, I would look at what the gross margin expansion was in 2025 and replicate that into 2026 as a good barometer for how to treat gross margin. Selling expense, we go between 40–42% on given years where we have certain events associated with our sales leader base, but we try to target that around 40–41% on any given year, so that will stay somewhat consistent. Then our G&A, we are working to bring our costs in line with revenue. As we go throughout the quarters in 2026, we will continue to work on our overhead, and we are continuing to refine that to get to levels that are in line with our top line. The one last thing I would call out from year over year is 2025 we benefited from an R&D tax credit, which created a lower tax rate in 2025 than we believe we will see in 2026. When you are looking at earnings per share, you have to take into consideration a 35% tax rate that we are looking at right now as we forecast and project out the year. That creates, from $1.27 in 2025 to where we model out at $1.20, we are actually showing in 2026 an operating margin improvement but a slightly lower earnings per share just because of below-the-line items on tax. That is how I would look at it forward in your model.
Ryan S. Napierski: I appreciate all that color there. One last for me. There is a lot of excitement around Prism and India for obvious reasons, but I do not want to lose track of the rest of your portfolio. I know mainly in China, the U.S. had nice quarter-over-quarter revenue growth. Any other storylines that we should be keeping an eye on as we start 2026? Any geographies or thoughts around that? I am glad you mentioned the other portfolio. One thing that we did not discuss here is the restaging and rollout of Tru Face, which is our premium skincare line that has really been reformulated and restaged with sustainable packaging. It is doing really well, getting very good reception as it rolls out around the globe in different geographies. Areas where we continue to be interested in seeing improvement: Latin America continues to do really well, and looking forward, we are excited to see what will happen there as we continue to learn about the broader segment of emerging markets around the globe; improvements in China; improvements across Europe; markets within Southeast Asia—happy to see those things improving. Japan and Korea, I think our focus right now is ensuring we have China, Japan, and Korea, and then North America, improving through Prism IO and the adoption of that as well as the Tru Face line from the beauty side of the business, continuing to perform better as we move forward.
David Joseph Storms: That is great. I appreciate you all taking my questions. Congrats on the quarter, and good luck in 2026.
Ryan S. Napierski: Thanks, David. Thanks, David.
Operator: As a reminder, to ask a question, please press 11 on your telephone and wait. I am showing no further questions. I would now like to turn the conference back to Ryan S. Napierski for closing remarks.
Ryan S. Napierski: Thank you very much for joining the call. Our roadmap is very clear as we move forward towards our vision of becoming the world's leading intelligent beauty and wellness platform powered by our committed and dedicated global sales force. With the launching of Prism IO in 2026, we believe that the world will continue to learn more and more about their nutritional health and that we will be the proprietary company providing that capability to them. We will continue to focus and update you on India and our progress throughout the year as we prepare for our launch towards the end of this year. We will end this call and look forward to chatting with you in the next quarter update. Thank you.
Operator: This concludes today's program. Thank you for participating. You may now disconnect. Your Q4 2025 Nu Skin Enterprises, Inc. earnings conference call.